Operator: Good day, and welcome to the Asbury Automotive Group Q4 Year-end 2016 Earnings Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Matt Pettoni. Please go ahead, sir.
Matt Pettoni - Asbury Automotive Group, Inc.: Thanks, operator, and good morning, everyone. Welcome to Asbury Automotive Group's fourth quarter 2016 earnings call. Today's call is being recorded, and will be available for replay later, today. The press release detailing Asbury's fourth quarter results was issued earlier this morning, and is posted on our website at asburyauto.com. Participating with us today, are Craig Monaghan, our President and Chief Executive Officer; David Hult, our Executive Vice President and Chief Operating Officer; and Keith Style, our Senior Vice President and Chief Financial Officer. At the conclusion of our remarks, we will open the call up for questions, and I will be available later for any follow-up questions you might have. Before we begin, I must remind you that the discussion during the call today, is likely to contain forward-looking statements. Forward-looking statements are statements other than those which are historical in nature. All forward-looking statements are subject to significant uncertainties, and actual results may differ materially from those suggested by the statements. Information regarding certain of the risks that may cause actual results to differ, please see our filings with the SEC from time-to-time, including our Form 10-K for the year ended December 2015, any subsequently filed quarterly reports on Form 10-Q, and our earnings release issued earlier today. We expressly disclaim any responsibility to update forward-looking statements. In addition certain non-GAAP financial measures as defined under SEC rules may be discussed on this call. As required by applicable SEC rules, we provide reconciliations of any such non-GAAP financial measures to the most directly comparable GAAP measures on our website. It's my pleasure to hand the call over to our CEO, Craig Monaghan. Craig?
Craig T. Monaghan - Asbury Automotive Group, Inc.: Good morning, everyone. This morning we announced adjusted earnings per share of $1.56 for the fourth quarter, a 19% increase over last year. While we continue to operate in a challenging new and used margin environment, our ability to drive incremental sales volumes, enhance F&I PVR and grow parts and service, enabled us to deliver same-store gross profit growth of 5%. The fourth quarter caps off a solid year for Asbury, let me touch on a few of the highlights for 2016. We generated $6.5 billion of revenue, we retailed over 180,000 vehicles, we grew same-store parts and service gross profit 7%. We delivered an adjusted operating margin of 4.5% and adjusted earnings per share of $6.08. In addition, we exited the Arkansas market and redeployed the capital into an attractive ROI-accretive acquisition in the Indiana market. Later this month, we expect to complete our Atlanta Nissan realignment with the opening of our Cumming Nissan add point (3:22). And finally, we repatriated over $200 million to our shareholders and reduced our share count by 14%. In summary, our adjusted results represent another fourth quarter EPS record and our 30th consecutive quarter of EPS growth. In addition, we were able to deliver adjusted EBITDA growth of 5%. For 2017, we anticipate a stable SAAR environment, margins stabilizing at around Q4 levels and rising interest rates. However, we believe the operational initiatives we have underway will offset these headwinds and enable us to deliver low-single digit EBITDA growth. Our EPS will be further enhanced by capital deployment, due primarily to the timing of our divestitures and acquisitions. We expect first quarter 2017 EBITDA to be in line with first quarter of 2016. Before I end, I want to thank Keith for his valuable service to Asbury over the last 13 years. He has been a pleasure to work with and we wish him well in his next endeavor. Now, I'll turn the call over to Keith to bring us through our financial highlights.
Keith R. Style - Asbury Automotive Group, Inc.: Thanks, Craig, and good morning, everyone. This morning, we reported EPS of $3.08 for the fourth quarter. Adjusted EPS was $1.56, a fourth quarter record and a 19% increase from last year. As you saw in our release this morning, it was a busy quarter for Asbury from many aspects, which led to several adjustments to earnings. First, the sale of our Arkansas stores resulted in a $45.5 million pre-tax gain. Second, we received pre-tax legal settlements of $6.6 million. Third, the closing of two Q auto stores resulted in a $500,000 pre-tax real estate impairment charge. And finally, we had $900,000 of discrete tax benefits resulting in an effective tax rate of 37.2%, compared to 38.1% rate without these benefits. In total these adjustments increased EPS by $1.52 for the fourth quarter of 2016. Adjusted net income for the fourth quarter of 2015, excluded a $13.5 million pre-tax gain on divestitures, or $0.34 per diluted share. Turning to expenses, our SG&A as a percentage of gross profit for the quarter was 69.3%, down 120 basis points from last year. As we have discussed in previous quarters, increased enrollment in our employee medical insurance plans put pressure on our overall personnel expense. However, solid execution in managing our advertising spend and reduced rent expense resulting from recent lease buyouts, enabled us to drive down our SG&A ratio during the quarter. For the full year of 2016, the SG&A ratio was 69.2%. We expect our SG&A as a percentage of gross profit to be in the range of 69% to 70% for 2017. We may be at the high-end of this range in the first quarter of 2017 as we anticipate that the seasonality of the business will bring lower sales volumes and that the higher employee medical insurance costs will continue to be a headwind into the first part of 2017. Our floor plan interest expense totaled $4.9 million in the quarter, up $800,000 primarily due to the increase in the LIBOR rates. In terms of capital deployment, during the quarter, we repurchased $50 million of our common stock, or 4% of our outstanding shares. For the full year of 2016, we repurchased $212 million of our stock, or 14% of our outstanding shares. CapEx for the year, excluding real estate purchases, totaled $81 million. In addition, we purchased $20 million of previously-leased property and $11 million of property for future expansion. We now own approximately 70% of our real estate portfolio which we believe provides us with operational flexibility and long-term value for our shareholders. For 2017, we are planning to invest $70 million in CapEx, which includes $10 million for construction of a new facility as we plan to terminate an existing lease. Going forward, we will continue to seek opportunities to purchase real-estate currently under lease and acquire properties in connection with future dealership relocations. From a liquidity perspective, we ended the quarter with $3 million in cash, $71 million available in floor plan offset accounts, $91 million available on our used vehicle line, and $241 million available on our revolving credit lines. Our total leverage ratio stands at three times, on a net basis, our leverage ratio was 2.4 times, which is slightly below our targeted range of 2.5 times to three times. However, after adjusting for the Indianapolis acquisition in the first quarter of 2017, we are in the middle of our range. Going forward, we are committed to remaining in our targeted leverage range while maintaining flexibility to deploy capital on an opportunistic basis. In closing, after more than 13 years it is time for me to say goodbye to Asbury. I'm grateful for the opportunities, Craig, has provided for me over the years and for the confidence the board of directors has placed in me. I'm thankful for the support of the entire finance organization and the partnership of the operational leadership team. Mostly, I will miss my coworkers who after 13 years have become like family. I look forward to watching the many years of success Asbury's future holds. Now, I'll turn the call over to David to discuss our operational performance. David?
David W. Hult - Asbury Automotive Group, Inc.: Thanks, Keith, and good morning, everyone. My remarks will pertain to our same-store performance compared to the fourth quarter of 2015, unless otherwise stated. We delivered a strong quarter. We outgrew the market in new vehicle sales, grew our used vehicle sales 7%, drove our total yield back up to over $3,200 per car, grew our parts and service gross profit 9%, reduced our SG&A by 150 basis points and reduced our day supply of new and used vehicles. Turning to new vehicles, the fourth quarter was a strong selling quarter, with SAAR reaching 18.1 million, up 1% from the prior year. Our new unit volumes were up 2%. From a margin perspective, luxury gross has improved, but both import and domestic margins declined. We experienced new vehicle margin pressure due to a combination of lower manufacturing incentives and aggressive sales objectives. As a result, our margin was down 50 basis points to 5%. For 2017, we anticipate continued margin pressure. Turning to our new vehicle inventory, with a more disciplined approach the inventory management, we were able to reduce our new vehicle inventory by 11 days from last quarter, to a 61 day supply on a trailing 30 day basis. Our new vehicle inventory totaled $721 million and was not materially impacted by stop-sale vehicles. Turning to used vehicles, we increased our unit sales 7% in the quarter. However, our used vehicle retail gross profit was up only 1%. This was due to a combination of margin pressure and our decision to trade margin for volume. I will speak to the benefits this had on our F&I and reconditioning business shortly. Our team also did a great job growing our CPO business, 10% in the quarter. We continue to believe that there was additional opportunity to grow our used vehicle sales and maintain our margins around the fourth quarter levels. Turning to our used inventory, our team did a great job reducing our used vehicle inventory by 10 days from last quarter, to a 30-day supply on a trailing 30 day basis, which was at the lower end of our targeted range of 30 days to 35 days. Overall, our business was not materially impacted by soft sale inventory, which stood at 5% for the quarter. We feel like we are well-positioned for the first quarter. Turning to F&I, our team continues to deliver strong results by growing our new and used vehicle sales combined with a $60 increase in F&I per vehicle retailed enabled us to increase F&I gross profit 8%. Now, for parts and service. Over the past couple of years, we are focused intently on growing our parts and service business, by building out our leadership team, implementing business processes and integrating technologies to enhance the customer experience. These results – these efforts have resulted in consistent growth in our parts and service business, which continued in the fourth quarter. With our team delivering 9% gross profit growth including 9% customer pay growth. Our strategy to grow used vehicle sales was the primary driver of our 9% reconditioning growth. Looking forward, we believe we can continue to grow our parts and service gross profit in the mid-single digit range. Turning to our new acquisition, we'd like to welcome our new teammates at Hare Chevrolet, we are very excited to have all of them on board and look forward to the future. Finally, we'd like to express our appreciation to all of our teammates in the field and in our support center who continue to produce best-in-class performance in many areas. Again, thank you. We will now turn the call over to the operator and take your questions. Operator?
Operator: Yes, sir. Thank you. We'll move first to Rick Nelson with Stephens.
Rick Nelson - Stephens, Inc.: Thanks. Good morning. First of all, good luck and congrats to Keith, it's been nice getting to know you over the last 13 years.
Keith R. Style - Asbury Automotive Group, Inc.: Thank you, Rick.
Rick Nelson - Stephens, Inc.: I wanted to ask about margin GPU. Quite a convergence, I guess, between premium luxury and way you held up pressures in the midline import and domestic side of the house. David, if you could talk about the inventory, (15:47) 61 days, where you might be heavy, where you might be light, and the outlook for margin in those three segments pushing forward?
David W. Hult - Asbury Automotive Group, Inc.: Certainly. Rick, I'll take my best and I hope if I missed something please remind me that I missed it. From the import and domestic piece, there is a couple different stories there on the domestic side, it literally is the difference in the quarter of 2015 and quarter 2016 and lack of incentive money that was there in 2015 that wasn't there in 2016. We were actually pretty happy with the way we held considering how much less incentive money there was quarter over quarter. On an import basis, it's just very competitive. We see the benefit of chasing volume a little bit with their stair steps and incentives that they have. We have to be a little bit more aggressive and dig a little bit deeper in the hole to actually get those payouts. But as you can see, we delivered overall great gross profit growth in the quarter and that's what we're most excited about. From an inventory standpoint, we think we're well-positioned at 61 days. I don't think you ever have the ideal mix. You always have too much of something and too little of something. But generally speaking, we're really pleased where we're starting the year off and don't really see any headwinds with any of our OEMs or inventory levels.
Rick Nelson - Stephens, Inc.: All right. Thanks for the color. Service and parts, you've been tracking well ahead of that mid-single digit same-store target there, is this type of level you think can be sustained through 2017?
David W. Hult - Asbury Automotive Group, Inc.: Rick, this is David. I'll take first crack and Craig might jump in. We're still predicting the mid-single digit range. It's still is very choppy environment – how much of it's reconditioning and how much of it's warranty customer pay, days in the month, days in the quarter all play a factor in it. We've been focused on our initiatives the last 18 months specifically. We feel like we are starting to see the benefits of that through our dollar sales, but we still think we have plenty of opportunity for traffic growth.
Rick Nelson - Stephens, Inc.: All right. Great. And finally, if I could ask about Q auto, how that performed in the quarter and any expansion plans for the New Year?
Craig T. Monaghan - Asbury Automotive Group, Inc.: Rick, I'll jump in on that one, it's Craig. We're down to two Q auto stores. The results in the quarter just aren't material, I don't think they're worth talking about. I would say philosophically, we believe there is, continues to be an opportunity to go to market with an alternative distribution channel at Q auto to sell cars that we would otherwise send to auction. We've moved to a quality outlet concept. We're doing that in the Tampa market. We think two stores are all we need to cover that market. I would say, it's still an experiment. The definition of success for us is a business model that generates an ROI that's above our cost of capital. We're not there yet and we're hopeful that we can get there. If we can make these two stores work, we will roll this concept out to the markets where we've got a footprint elsewhere around the country.
Rick Nelson - Stephens, Inc.: All right. Thanks for the update and good luck, guys.
Craig T. Monaghan - Asbury Automotive Group, Inc.: Thanks, Rick.
Operator: We will now take our next question from Brett Hoselton with KeyBanc.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Good morning, gentlemen.
Craig T. Monaghan - Asbury Automotive Group, Inc.: Good morning, Brett.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Keith, congratulations.
Keith R. Style - Asbury Automotive Group, Inc.: Thank you, Brett.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: A couple of questions here. First of all, how should we think about the pace of share repurchase going forward, you kind of seem to be doing somewhere in that $50 million range per quarter, give or take?
Keith R. Style - Asbury Automotive Group, Inc.: Brett, it's – I think we're going to continue to be opportunistic. We've always been of the view that when it makes sense to buy stores, we'll by stores and when it makes sense to buy stock, we'll buy stock. You've also seen there have been quarters where we have sat tight because we thought we were better off to wait to see how some of the uncertainties in the market play out. And I think that's what you will continue to see us do going forward. We are very excited about this acquisition we just made in Indiana. As I mentioned it's a very accretive transaction for us, if we can pull up find more opportunities like that, we will jump on them, but we love knowing that we can always fall back on share repurchase if that's most attractive opportunity.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: In along those lines, M&A, can you talk about the level of deal flow and then kind of pricing multiples that you are currently seeing in the marketplace?
Keith R. Style - Asbury Automotive Group, Inc.: Sure. I mean, there is always deals in the market. I would say that the deal flow that we see today is pretty consistent with what we have seen over the last 18 months. I don't feel like there has been a major change. Despite all the uncertainty that's out there. With respect to pricing, the domestic stores clearly traded a discount to the premium stores. We look at deals on an EV to EBITDA basis relative to where we trade. I will tell you that the premium luxury stores are still being priced at a premium significantly above where we trade, which makes it a more difficult transaction for us to execute.
Brett D. Hoselton - KeyBanc Capital Markets, Inc.: Thank you very much, gentlemen.
Keith R. Style - Asbury Automotive Group, Inc.: Thank you.
Craig T. Monaghan - Asbury Automotive Group, Inc.: Thank you.
Operator: We'll now take our next question from Bill Armstrong with C.L. King & Associates.
William R. Armstrong - C.L. King & Associates, Inc.: Good morning, gentlemen. I was wondering if you could maybe elaborate on the used unit comp's which accelerated pretty strongly. I know you mentioned in your opening remarks that you want to trade margin for volume. So I was just wondering kind of what led to that decision, and how you feel about the results that you've got, and how you might approach that going forward?
David W. Hult - Asbury Automotive Group, Inc.: Bill, this is David. The first half of the year we are pretty focused on our margin and not as much focused on volume. As we started thinking about it during the year and looking at the total package between our F&I and our reconditioning gross, it just made sense to us looking at the business to really push the volume a little bit more to sacrifice margin. We are happy with the outcome. We're going to stay with the current model that we have and hope for the same success going forward.
William R. Armstrong - C.L. King & Associates, Inc.: Okay. Great. Another question on the Indianapolis market, I see in addition to the Chevy dealership you also acquired an Isuzu truck franchise which is – you had gotten out of the truck business a few years back. I was wondering if you could, kind of, talk about that, what are your plans on there?
Craig T. Monaghan - Asbury Automotive Group, Inc.: Bill, it's Craig, I mean, the truck business that we got into here is, I'd call medium-range truck as opposed to heavy-duty trucks that we were in before. It's a very, very different business and its one that we are comfortable with.
William R. Armstrong - C.L. King & Associates, Inc.: Right. But it's still a commercial truck dealership as opposed to consumer, does this signal perhaps a new strategic direction for you? Can we maybe expect you to put more resources into this market?
Craig T. Monaghan - Asbury Automotive Group, Inc.: Bill, I think we're going to have to wait and see how this goes. This was part of the acquisition. They are successful with that business. I can't emphasize enough. It's not an 18-wheeler. It is a delivery truck as opposed to heavy long-distance vehicles. If it goes well, yeah, it's something we would think about. But I think we want to get this tucked in, see how we do it before we make any type of commitment like that.
William R. Armstrong - C.L. King & Associates, Inc.: Okay. And just to clarify, this was part of the Hare acquisition? Right? These were not two separate transactions?
Craig T. Monaghan - Asbury Automotive Group, Inc.: That's correct.
William R. Armstrong - C.L. King & Associates, Inc.: Okay. Thank you.
Craig T. Monaghan - Asbury Automotive Group, Inc.: Sure, thing.
Operator: We'll now take our next question from Bret Jordan with Jefferies.
Bret Jordan - Jefferies LLC: Good morning, guys.
Matt Pettoni - Asbury Automotive Group, Inc.: Good morning.
Bret Jordan - Jefferies LLC: I think, you mentioned that you didn't have much impact through stop-sale either new or used, is that because you are seeing a better flow of replacement parts around the Takata issue and maybe you can give us an update there? And then one quick follow-up.
David W. Hult - Asbury Automotive Group, Inc.: Yeah. Bret, this is David. Yeah, they are flowing pretty well. Every month we are reducing the number of dollars we have currently outstanding. So we see that progressing. There is still one off vehicles that don't have airbags and we don't have a timeframe for when they will come in, and they could be as far away as the end of the first quarter into the second quarter potentially. But generally it's decreasing every month.
Bret Jordan - Jefferies LLC: But, I guess, what are you seeing as far as an impact from selling those cars that have been held? I mean, are you seeing any near-term push down on profit as those units depreciate on your lot for a while prior to sale?
David W. Hult - Asbury Automotive Group, Inc.: No, not really. In 99% of the cases we are receiving funds from the OEM to depreciate these vehicles and in a lot of cases there are fairly desirable vehicles coming out that we are selling.
Bret Jordan - Jefferies LLC: Okay. Great. And then one last question. Was there any meaningful dispersion regionally in performance this quarter year-over-year?
David W. Hult - Asbury Automotive Group, Inc.: No, it's actually – this has been a little bit of a headwind or struggle for us but generally speaking fairly stable.
Bret Jordan - Jefferies LLC: Okay, all right. Thank you, very much.
Operator: We'll now take our next question from Mike Montani with Evercore ISI.
Michael Montani - Evercore ISI: Thanks, guys. First, congrats to Keith, good luck in the next move. I just wanted to ask for elaboration if I could, from David about the comment that you see opportunity to maintain margin in used, I guess as we think about modeling that out for next year, is that referencing the $1,500 a unit in the fourth quarter, is this talking about gross margin percentage like the year-over-year decline, can you just add some color to that?
David W. Hult - Asbury Automotive Group, Inc.: Sure, Mike. I would say where we are at in the fourth quarter, that $1,500 range as long as we can drive the volume we think that's the sweet spot for us.
Michael Montani - Evercore ISI: Okay, thanks. And then also just related to that David on the CPO side you mentioned the 10% rise, can you update what percentage of the business that is currently and given the off-lease supply that is coming back to market, was there any reason that shouldn't sustain for this year?
David W. Hult - Asbury Automotive Group, Inc.: No, we think we are a big fan of the OEM supported certified programs. We are continuing to look for opportunities to improve with them. But it's a value proposition for the customer and it's a value proposition for us because it's also with CPO vehicles additional reconditioning dollars in service. So we still see a huge benefit there. It's less than 50% of our sales right now. It's typically between 30% and 35% on a monthly basis as CPO.
Michael Montani - Evercore ISI: Okay, thanks. You know one also, I guess, was on the lease versus own mix today of the dealerships, and what kind of opportunity is there to maybe increase that owned percentage over time, how are you guys thinking about that?
Keith R. Style - Asbury Automotive Group, Inc.: Hi, Mike. This is Keith. We've made a lot of progress over the years whether it'd be through straight-up police buyouts (28:03) or constructing facilities near the end of current leases that, leases that we are terminating. We regularly look at opportunities. I mentioned another one we're building another facility in the coming year for $10 million and that is to move out an additional lease facility. So we are always evaluating that but that's truly opportunistic. We are talking to our landlords all the time and look for opportunities all the time but that's on the opportunistic basis. We'll keep -- I expect the progress to continue.
Michael Montani - Evercore ISI: Okay. The last two I had was, number one on the F&I side, I guess back to David if you could just shed some additional light on the opportunities you see to get $1,500 up to $1,650 plus that some of the peers have? And then finally was on border tax, AutoNation made comments around potential benefits on tax reform, I'm wondering if you guys could share any thoughts around that as well?
David W. Hult - Asbury Automotive Group, Inc.: Sure, Mike, this is David. I'll take the F&I and certainly leave that other question for Craig. On the F&I side, we're very happy with the month and where we came out. We think we can sustain these levels going forward. I guess $1,600 is always a potential, but I struggle to see us getting there in the near future. I think currently where we are at is probably the level we'll stay out for a period of time with small lifts here and there, but to us, $60 is pretty substantial.
Craig T. Monaghan - Asbury Automotive Group, Inc.: Okay. The border tax, I'll take a shot at that one, Mike. Philosophically, we just don't think it makes a lot of sense for us to try to give you any guidance on what any of these different issues that are up in the air in Washington might mean to us. I'd point out just a couple of facts that the number one U.S. content car in the United Sates is a Camry. So it's a complex issue. I think most people would think that the most – the heaviest content car in the United States must be a domestic and that's not the case. I'd also point out that we are 38% effective tax payer, one of the highest in the country's domestic-only retailer. If there is any changes to the tax rates, obviously, those will play it to our advantage, but then we've got to come back and ask will we lose the depreciation tax shield, will we lose the interest rate tax shield, will we lose an interest rate tax shield on floor plan. There are just so many unknowns about this and so many variables that we've decided that best thing for us is just to keep our heads down and work on the things that we can control. We'll watch this very closely and we'll start to make adjustments to the extent we can as we get more clarification on what might come.
Michael Montani - Evercore ISI: Thank you.
Craig T. Monaghan - Asbury Automotive Group, Inc.: Sure thing.
Operator: We'll now take our next question from James Albertine with Consumer Edge Research.
Derek J. Glynn - Consumer Edge Research LLC: Yeah. Hi. Thanks for taking my questions. This is Derek Glynn on for Jamie. Just another quick follow-up on F&I. We're curious how we should think about this F&I per vehicle retail, assuming we are in an environment where new vehicle sales decelerate and used vehicle sales accelerate. Is it harder to maintain this F&I PVR if used is outperforming new? Thanks.
David W. Hult - Asbury Automotive Group, Inc.: Derek, this is David. I'll take the first shot and maybe Keith, you want to jump in. Years ago would've been, because of the cost of sale, but now the cost of sales has come up so much on pre-owned vehicles, it really isn't impactful. And we think our fourth quarter numbers is the number that we can sustain.
Derek J. Glynn - Consumer Edge Research LLC: Okay. Thank you very much and best of luck.
David W. Hult - Asbury Automotive Group, Inc.: Okay. Thanks.
Operator: We'll now take our next question from John Murphy with Bank of America Merrill Lynch.
Elizabeth Lane Suzuki - Bank of America Merrill Lynch: Good morning, this is Elizabeth Suzuki on for John. Looking at new vehicle demand at this point, how elastic do you think it is? And would a tariff on imported vehicles or rising interest rates or other potential impacts should be likely to put material pressure on demand even if it may be offset by a lower consumer tax rate?
Craig T. Monaghan - Asbury Automotive Group, Inc.: Elizabeth, that's a great question, but one that's difficult for us to answer. We're just a retailer. We run car stores. We look at some of the same economic forecasts that the large banks put together, people like yourselves. In our guts, we certainly feel that if new car prices are going to go up because of tariffs and we've seen estimates that say they could go up on average $2,000 a car, some much more. Obviously, we think that's going to have some impact on sales volume. SAAR will fall, how far it would fall, we don't know. But, like I said earlier, I think we're just paying very close attention to what's happening in Washington and we'll be prepared to adjust to whatever comes our way.
Elizabeth Lane Suzuki - Bank of America Merrill Lynch: Great. Thanks. That's helpful. And how much interest rate exposure do you have in your floor plan lines and other debt in terms of what's variable versus fixed?
Keith R. Style - Asbury Automotive Group, Inc.: Yeah. Hi, Liz, this is Keith. Basically a lot of our long-term debt is fixed effectively and our new floor plan is obviously it's LIBOR based and it's floating. That's about – we carry about $800 million of floor plan at the end of the fourth quarter.
Elizabeth Lane Suzuki - Bank of America Merrill Lynch: Great. Thanks very much.
Operator: We'll now take our next question from Paresh Jain with Morgan Stanley.
Paresh B. Jain - Morgan Stanley & Co. LLC: Good morning, everyone, and congrats, Keith. Craig, a question for you on used. There is this thought that franchise dealers are expected to benefit a lot more than independent dealers from the increase in off-lease supply. And if we try to isolate the impact that stop-sale had on used vehicle performance in the last 12 months, are you seeing those benefits of basically having the equivalent of right of first refusal on lease supply? And would you say the impact is more in terms of volume or GPU?
Craig T. Monaghan - Asbury Automotive Group, Inc.: There's clearly an advantage that we enjoy because we can sell a CPO unit and with all these vehicles coming off lease those are – they fall right into that sweet spot. Stop-sale has been very brand specific with respect to its impact. I feel that to a large extent that issue is behind us, like David said we do have some brands, really we are down to the point we're essentially we are one brand that holds half of our stop-sale vehicles. But even – so that's causing some disruption but it's not material to us from an overall perspective. David, I don't know if you want to talk in more detail about the off lease and how we might move out to the system.
David W. Hult - Asbury Automotive Group, Inc.: The only comment I'd make is that the inventory is plentiful. So to acquire it's easy, is there a benefit from a large group to a smaller group, there should be, because it gives you the ability to move inventory around between stores and easier access for other stores to get brands or inventory that they may be wouldn't have access to get. But generally speaking our goal is to turn the inventory every 30 days. So there are cars from an appetite perspective we might be able to turn, but we can't turn them in a timely manner. So we don't acquire them. We let them go. But it's a good time to be opportunistic to buy what you need and what you want. So you can turn it in a timely manner.
Paresh B. Jain - Morgan Stanley & Co. LLC: Got it. And the follow-up to that, can you comment on what the difference in GPUs is for used retail vehicle that was sourced through in-store appraisal versus that acquired at an auction?
David W. Hult - Asbury Automotive Group, Inc.: So I can't give you an exact number, I don't have it in front of me. But I can tell you generally speaking, your profits are larger when you take a vehicle and trade them when you acquire one at an auction. And when you think about the auction concept there is a lot of competition there. And if you leave with 10 vehicles, it just means no one would pay more than you would for those 10 vehicles. So naturally your gross profit is going to be better on the cars that you trade at your door.
Paresh B. Jain - Morgan Stanley & Co. LLC: Thanks for the color.
Operator: We'll now take our next question from Chris Bottiglieri with Wolfe Research.
Chris Bottiglieri - Wolfe Research LLC: Hi, thanks for taking my question. Just a question on the divestiture, can you – is there any way to quantify how much that helps your SG&A throughput which is really strong this quarter, was there any kind of basis point impact you can speak to and how we can think about that for 2017?
Craig T. Monaghan - Asbury Automotive Group, Inc.: Let me start and maybe Keith, can get into the details. On the divestiture, we gave up five franchises, there were some body shops in there as well. And essentially, we replaced it with one large store. Typically, a larger store is going to be much more efficient. We are going to get better flow through, better net to gross, and so the SG&A is going to look better. And philosophically, we like that kind of concept. Keith, I don't know if you can add any more specific color.
Keith R. Style - Asbury Automotive Group, Inc.: Yeah. Chris, we disclosed in our release and in our financials, we do SG&A on a same-store and all store basis. And the improvement in the SG&A on a same-store basis were similar in nature to what you saw on all store basis, actually a little bit even stronger. And I just remind everybody we've had a great run of SG&A I think, we have a focus here on its cultural focus, it's not just finance team focus, but it's all the way through the operational team. And it starts from the top and we are always focused on continuous improvement. So we're pretty proud of where we are from an SG&A perspective.
Chris Bottiglieri - Wolfe Research LLC: Got you. It's okay. And then in terms of divestiture what is it about, I mean, it sounds like you kind of alluded to, (38:13) small stores, but you guys are very strong operators, one of the highest margins in the space, how do you think about divestitures, like what was it about these four stores that made them less profitable ? And then two, are there any other kind of – is there room for potential further optimization of portfolio or you pretty happy with where you stand today?
Craig T. Monaghan - Asbury Automotive Group, Inc.: It's Craig. One of the things we do is we manage our portfolio stores. There are sometimes opportunities for us to the best stores at prices that are very attractive and potentially prices are greater than where we trade. And if we can an asset that like we said earlier we don't think we can necessarily get it to the level of efficiencies that we can get it some of the larger stores to. So in this case selling those stores made economic sense to us from a shareholder value perspective. And then the beauty of the transaction was we could then turn around and reinvest a portion of the proceeds and buy a store that we think we can run – currently runs at a very, very attractive level of efficiency and roll that into the portfolio and be net-net better off.
Chris Bottiglieri - Wolfe Research LLC: Got you. Okay, next. And then one final unrelated question to CPO, 10% is really impressive and it seems like the market – the industry reported volumes are growing a lot slower. Is there anything structural based on your footprint, or brand mix that you think allows you to grow faster than the market, maybe small dealers want to have the lot of capacity, what do you think the kind of the factors that attribute to the 10% growth?
David W. Hult - Asbury Automotive Group, Inc.: Chris, this is David, I don't think those are really factors at the end of the day or at least as it pertains to us. We are lucky to have really good operators and people in our stores running the business. They've really got their arms around this and they are focused on growing the CPO business. And I think it is just a collective effort that we've been focused on really the last four months and we just starting to see some of the benefits of it.
Chris Bottiglieri - Wolfe Research LLC: Okay. That's really helpful. Thank you for taking my questions.
Craig T. Monaghan - Asbury Automotive Group, Inc.: Folks, that wraps up our call for today. We appreciate you joining us and look forward to talking to you again next quarter.
Operator: And once again, that does conclude today's conference. We thank you all for your participation. You may now disconnect.